Operator: Good day everyone and welcome to the Martin Marietta Materials Incorporated Fourth Quarter and Full Year 2007 Financial Results Conference Call. Today's call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to the Chairman and Chief Executive Officer, Mr. Stephen Zelnak. Please go ahead sir.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Thanks for joining us today. I have with me Ward Nye, President and Chief Operating Officer and Anne Lloyd, our Chief Financial Officer. The fourth quarter turned out to be much more challenging than we expected. Through October-November our aggregates volume was positive by 1% and our results were well on track for another record quarter. In December, weather issues in the Middle East, Mid-West and Mid Atlantic areas created a 19% drop in volume and northern tier states from Iowa to West Virginia saw declines that range from 23% to over 50% as construction activity came to a quick halt for the year. In North Carolina, Virginia and Maryland shipments were down 28%. As you expect, the drop of that magnitude coupled with rising energy prices, which cost us $0.09 per share, had a very negative impact on profitability and margins. For the quarter, earnings per diluted share of $1.30 was down $0.20 from the prior year period. Heritage aggregates volume was down 5%, while pricing increased 5.5%. The geographic mix, which was much more heavily weighted to truck markets in the west, reduced the rate of sales price change by about 150 basis points. Our dolomitic lime business performed particularly well during the quarter, while our magnesia chemical's business showed continuing growth. In our Aggregates business, we saw positive volume growth during the quarter in Iowa, North Texas and Oklahoma, Arkansas and East Texas as well as in South Georgia. During the quarter, we did a particularly good job of managing our SG&A expense, which declined almost $2 million or 5%. We continue to streamline our organization for a reduction of some 40 jobs in the SG&A area. Our continuing investment in information systems technology is enabling us to create more effective ways to accomplish necessary task. For the full year 2007, we turned in some notable achievements, despite difficult economic conditions. Earnings per diluted share of $6.06, was up 15% to a record level. Record EBITDA of $591 million increased 10% from the prior year. Record operating margin based on net sales increased 180 basis points for the year, and it was up 440 basis points over the past two years. Return on equity increased 370 basis points to a record 24%. All of this was accomplished against an 8% decline in Aggregates volume, which is the shortest volume contraction we have experienced since the 10% decline in 1991. During the year, we adopted a new capital structure with leverage target of 2 to 2.5 times debt to EBITDA. We finished 2007 slightly under the target, but expect to be in the target range in 2008. During the year, we repurchased 4.2 million shares, which included 604,000 shares in fourth quarter. Since beginning of 2005, we have repurchased about 18% of our shares, which we believe has been very beneficial to our shareholders. At the same time, we've been investing at record levels to expand our business with some very high return projects. Examples of such projects, which typically have IRRs of 25% or more, are recently completed new plants and underground mine at Weeping Water, Nebraska, which increases annual capacity from 2 million tons to close to 4 million tons. Also, our new Augusta, Georgia plant is underway with completion scheduled in early 2009. It will take annual capacity from 2 million tons to 6 million tons. We'll continue to invest in these types of growth and efficiency improvement projects. We also doubled our magnesium hydroxide powder productions in our Magnesia Chemicals business, which is a very attractive investment, given the growth in demand for flame retardant and additives. Looking ahead at 2008, we expect a challenging year, given the uncertainly in credit markets. We expect housing to drop significantly in the first half followed by bottoming in the second half. Most of the non-residential construction will be solid with energy projects, and other capacity expansion construction being strong and retail and office construction softening. Infrastructure demand should grow modestly, as overwhelming demand chases funding. Geographically, we expect North Texas, San Antonio, NAFTA corridor, South Georgia and Iowa to be the strongest areas. Iowa was interesting because it's not an area of notable population growth. However, wind initiatives including wind farms, ethanol and bio-fuel plants along with robust farm economy should make for a good year. In our Specialty Products segment, we expect further growth in Magnesia Chemicals and also a very positive volume growth in our dolomitic lime business. The year in Aggregates, we expect the rate of price increase to range between 5.5% to 7.5% with the volume change ranging between up 1% to down 3%. With Specialty Products, we expect pretax earnings at $36 million to $38 million versus $33 million in 2007. Given these assumptions, we expect diluted earnings per share to be a record, $6.25 to $7, the first half been relatively weak with notable improvements in the second half. At this time, I will be pleased to take any questions which you may have. Question And Answer
Operator: [Operator Instructions]. We move first to Mike Betts with JP Morgan.
Mike Betts - JP Morgan: Yes. Steve, just a couple of questions if I could from me. Firstly, could you maybe just comment a bit more on the success of the price increases at the start of this year. And secondly, could you give some idea of the underlying assumptions that you've made in cost inflation in our guidance of the year. And I guess what I am particularly interested in, if you could maybe talk about the growth number; you see cost going up, and then some indication of how much you're able to reduce that increase through the various initiatives that you've got going. Thank you very much.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Okay. We do have in place our 2008 pricing. We have certain areas where the price levels like price increase will be very positive double-digit. The greatest opportunities we have in 2008 are in the Carolinas and down through Florida. When you get to other areas of the country, you are going to see much more modest price increases in the mid single-digits. They are ranging down to low single-digits in some of the markets that are pretty depressed; low single-digit markets would be places like Ohio, Indiana where demand is relatively low. So that's where the pricing shapes up for 2008.
Mike Betts - JP Morgan: And Texas, Steve where would that be?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Texas ought to be in the mid single-digits, but the caveat there is that Texas is greatly influenced by the balance of shipments between the long-haul transport shipments and the truck quarries because the difference in pricing is very significant, could be as much as 3:1 in some cases. So depending on what that balance is, it will affect the average price in Texas, either up or down, depending upon how that compares to 2007. So I just leave you with that caveat with respect to Texas. We think that Texas marketplace is going to be a good marketplace in '08. We particularly think that North Texas is going to be strong. We expect good business in San Antonio and the NAFTA corridor, we think Houston will be a bit more challenging but overall, I think a nice year. East Texas, which is predominately rural, is also a good market place for us and we think that's going to be a good place in 2008. Yes, with respect to cost inflation, Mike, it's always interesting to look back on where you've been and then try to figure it out. In 2007, we were dead on with our projections with respect to energy through the first three quarters and obviously, the fourth quarter huge ramp up in the energy cost and as we indicated that cost was $0.09 a share and not anything that you are going to react to in the short term. You just have to eat it. As we look at 2008 with the items other than energy that are variable in nature, I think we are going to be somewhere in the 4%, 5% range. They are not totally variable and that's what will push it up a little bit, but the big issue for 2008 is really going to be volume levels and production through the plants that go with that and fixed cost amortization. If you look at our depreciation, depreciation is ramping up for us and that is a function of our decision to invest in our business where we see some great opportunities, but the timing of that is not necessarily dead on. So we may have a few spots where we don't have as much volume as we'd like to amortize that investment. Just for you to put in your calculation for 2008, the DD&A that we are looking at is going to be about $165 million versus about a $150 million in 2007. The run rate fourth quarter 2007 was about $157 million. So hopefully, that's helpful.
Mike Betts - JP Morgan: It is, thank you for that, Steve. Just one more question if I could, because one of the questions of 2008 is the budgetary situation of your three major states, the two Carolinas and Texas and certainly the risk section of your press release mentions these. How serious do you see that. Are you seeing any cut back or threats to cut backs in highway program in those 3 big states because of that?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Well Texas has already taken some actions, but at the same time, there is an offset there with the toll road program. So we think overall, Texas is going to be pretty strong and I am not particularly concerned about that. South Carolina has a new finish for progress program, which is pumping some more money into that state and South Carolina as we view it right now, is going to be okay. North Carolina has come forward with the initial $300 million worth Garvey bonds. That helps, but the reality is that North Carolina is going to have to do more and we are in the throws right now, politically trying to determine exactly what it is that the state is going to do. So I think in 2008 North Carolina in the highway sector is going to be down a bit. We'll see whether or not legislature takes interim action during the year to put some more money into the highway funds. I don't know the answer to that right now, but there is a major effort underway to come forward for the recommendation to the legislature. The Governor has a state commission to do that, which will report by May.
Mike Betts - JP Morgan: Okay, that's great. Thank you very much Steve.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Sure.
Operator: Next we move on to Jack Kasprzak with BB&T Capital Markets.
Jack Kasprzak - BB&T Capital Markets: Thanks, good afternoon Steve.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer:
Hey Jack:
Jack Kasprzak - BB&T Capital Markets: Hey. I wanted to ask first, do you think housing will be as big a drag in '08 for your business as it was in '07?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Yes it is, it will be non- existent based on the rate of decline. Our expectations are that, with the Federal Reserve's aggressive actions and what we would expect to see from them, they are going to alleviate some of what might otherwise happen. But if you look at your inventory overhang, it is going to take a while to work it off. And I would expect in the first half of the year, that you're going to see starts drop down to could be 850,000 to 900,000 units. As you go through to the back half of the year, I expect the bottom to perk up just a little bit, to get the year back to something that's closer to million units, hopefully a little better than that. But as you know, historically after the Fed gets aggressive with rates one way or the other, about 6 months out you begin to see some impact, and not that inventory is going to clear that quickly, but builders will go back to work and you have to remember that builders build, someone will win them... win their money they will build houses. And I think the environment should be much better in the second half of that.
Jack Kasprzak - BB&T Capital Markets: And I was also going to ask about in the fourth quarter, if you look at your volume and price performance by the way you break it up your three segments geographically, the second one that was down most in volume in the Middle East was up most in price and the segment that was up, up most in volume was worst price performance you wanted to say at that way up, the West only up 1.3%. Could you talk about what's going... what goes on there, what figures into those dynamics?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Sure, the Mid East is a pretty broad swath of territory and it does include Indiana and Ohio, which economically both of those are put into the category of basket cases. Certainly, we saw a very significant volume declines in both, and Indiana for the year, volume down about 15%; Ohio, volume down 27%. So those volume changes that you're seeing in Mid East are heavily driven by the automotive build in Indiana and Ohio. If you go out to the west and look at that correlation between the two, it comes back to where the business was. We had a very good year in South Texas, but South Texas has some very low price material. Some nice margins in it, but very low price material and also we had much more truck quarry sales relative to the long-haul transportation and just to give you an example, the truck sales might be on the order of $6, $7 a ton. If you put it on, later I will go through this distribution yard that number maybe up in the $17 to $18 range. So when you weight it all out, we had a mix shift there that was pretty significant plus the ramp-up in the NAFTA corridor down to South Texas. So on the surface, it looks like there is a direct correlation, actually there are a lot of reasons behind that and it's not nearly as direct as the economist might think.
Jack Kasprzak - BB&T Capital Markets: Okay, thank you. And then last, I wanted to just ask with regard to the 2008 pricing guidance of 5.5% to 7.5%, would you think that if they were toward the low end of that range 5.5% or so percent that would be the low rate of increase for the cycle?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Given what's going on, if the Fed continues to be as aggressive as they have been and if you got a stimulus package thrown over the wall of the American consumer, you would expect that you are going to get some stimulus coming into the election, but that is going to carry over around to 2009. Given that, I'll say absolutely, that's the low point, but I think you are beginning to coast along the bottom more than likely.
Jack Kasprzak - BB&T Capital Markets: Right, okay. Thank you very much
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Sure.
Operator: Moving on, the next question will come from Todd Vencil with Davenport & Company.
Todd Vencil - Davenport & Company: Hi, thanks a lot. On that $0.09 energy impact that you mentioned, just to clarify, is that relative to your expectation or is that on a year-over-year basis?
Anne H. Lloyd - Chief Financial Officer, Senior Vice President and Treasurer: Year-over-year, Todd.
Todd Vencil - Davenport & Company: Okay, thanks a lot. And then, just a sort of get a little more general, I mean, what was really driving a shift in the mix away from the higher priced material, which I guess is the long-haul material? Was that... is that weather or was that some sort of geographic shift?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Of course geographic and if you look at the long-haul markets, they are... most of the markets in the South East and Gulf Coast. And as you know, those markets have certainly pulled back. Housing was a major driver for significant piece of it. They've been pulling back and we just saw it in a more pronounced way and we continue to see diminishing in demand in those custom markets, but also we saw some increase in demand in other areas that were truck market, where we have truck market quarries. So it all comes back to the nature of this business, which is very local and we happen to get demand in places like Iowa, and Nebraska and South Texas, and we didn't have as much demand in Houston and some other Florida markets and down in the Gulf Coast.
Todd Vencil - Davenport & Company: Alright. So given that, I mean do you sort of anticipating that's going to persist for a while and is that just sort of in your pricing guidance?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: The answer is yes. We think that probably going to persist. The nice thing about the coastal markets as we go out is that people continue to flow in. The problem they have is selling their house where they are coming from or wanting to make the plunge on a new and if they don't, already own one. So, we think that's going to continue for a while ahead. I cited the Midwest in my comments particularly Iowa, I'll put Nebraska with that. Some very interesting factors influencing that area which will make it very positive. We think the South Texas market is going to very positive, lot of wind farm activity in South Texas. And just to give you an idea of the magnitude of demand on specific projects with wind farms and ethanol, those wind farm projects that we've seen recently, can range anywhere from 200,000 tons up to 700,000 tons, depends on the size of the wind farm. You get concrete pads that they need to put under the turbines themselves and then what you have to do is create roadways to get out there to build and service those turbines. An ethanol plant is going to be connected to rail in virtually every case and when you take the plant and the rail connection, not unusual that you are looking between 50,000 tons and 100,000 tons and could even be a little higher.
Todd Vencil - Davenport & Company: Got it. Thanks for that, but --.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Sure.
Todd Vencil - Davenport & Company: And just one more question if I can, I mean you are talking about the second half coming back and it certainly sounds like you are expecting that some of what the government is doing right now be helpful in that, both in the fiscal sense and monitory sense, but is there anything else that you are seeing out there that makes you feel like the second half is going to see an improvement or is it sort of based on the idea that the economy is just going to start coming back, the back half of the year?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: I think its that plus a key factor in all of this is the confidence level of consumers which translates into the confidence level of developers and lenders. If in fact you have a higher confidence level, you are going to see people much more inclined to move forward on projects and big swing factor for 2008 is in commercial construction in our view, and we had already talked about housing. We think it will be down for the year, with a little bit of uptrend in the back half. We think the infrastructure component of business will be up modestly. What swings our volumes between a slight plus and potentially 3% negative as we see it today, is going to be that non-rails construction and the level of confidence, particularly as it relates to office building, distribution and retail will play a major role in that. So, that's where we are looking at.
Todd Vencil - Davenport & Company: And just, if I can just follow-up on that real quick, you mentioned last quarter that a lot of the developing markets seem to have taken a cautionary pause and that seems to be kind of sort of the same language in terms of the confidence there. Have you seen some of that caution abate or is the caution still out there and you are just hopeful that it's going to abate going forward?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: It's still out there right now and I don't think we are going to get a reasonable read on it until we get into the midst of the second quarter, where based on seasonal patterns, volume typical picks up. I don't think we are going to get much to read on anything in the first quarter.
Todd Vencil - Davenport & Company: Got it. Fine thanks.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Sure
Operator: Next up, with Longbow Research we've David MacGregor.
Garik Shmois - Longbow Research: Hi, this is Garik Shmois for David. You mentioned Texas and the Carolinas with respect to construction spending. Can you just talk about some of the other markets where you might be particularly positive for 2008?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: I think Georgian infrastructure will have another good year. I think Indiana infrastructure will have a good year in the midst of all the other issues that are taking place out there with employment around automotive. Those will be the two most notable; Virginia withdrawing that category, they've got a new $3 billion bond issue. That has been approved and I think you are going to see Virginia begin to pick up after some pretty low levels of spending in that state. We don't have a big chunk of Maryland, but Maryland likewise stepped up and increased their annual funding of highways by roughly $400 million and that should be a plus there. Lot of activity going on in the states and I think over the next 12 to 18 months, you are going to see many of the states take additional actions to fund their programs and they literally don't have much choice unless they want to be grazing cows in the interstates.
Garik Shmois - Longbow Research: Can you talk about some of those actions that they are looking at?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Well, the actions that they are looking at are increased bond funding, where they have the capacity to do that, not only at the state level, but you can see it... and continue to see the local area bond funding initiatives, both for transportation and particular for schools at the local level, and those are good demand items for us. You are looking at this revenue, we call, I think they like to refer to them as revenue enhancers, I think it's called more taxes. The reality is that you are seeing increases, not on the gasoline tax, but on registration fees, transfer taxes and I think you are going to see the states go to that pretty heavily because they know that over the long-term that the gasoline tax is not going to be the vehicle to pay for roads as it is structured today, particularly with the new fuel requirements that the Congress has mandated.
Garik Shmois - Longbow Research: Well, thank you for that detail. Can you talk about your CapEx forecast for 08?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Sure. CapEx in 2007, about $265 million, 2008 is going to be very similar and it's going to be driven by the big project we have going on in Augusta, which will be somewhere between $50 million to $55 million and the significant majority of that spending will be in 08. And it's driven by relatively heavy expenditure on mobile equipment, just based on aging issues, turnover that we have there. So we'll see those as the leading elements. As we get beyond 2008, I would expect that mobile component come down pretty significantly. We will continue to have some fairly heavy land expenditures investing in the future of our reserve base and we'll probably have at least one really big plant project going on at the same time. But if we get beyond 08, you might see that number come down at 10% or so.
Garik Shmois - Longbow Research: Okay. And then just lastly, you've talked about a 1000 [ph] basis point margin improvement forecast. Do you really forecast today and is there anything you see out there that gives you pause or reasons for concerns?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: We really believe that, that's there, if you give some truly appurtenant behavior in the U.S. economy for extended period of time that would make it more difficult. But what we said in the beginning was that we expected to get the 1000 basis points over five years, the 2005 was a base line, we're two years in and we're at 440 basis points. 2008 will be challenging in that regard, no question about it, with volume levels really being the key there. I think we will do a pretty good job on our cost as we have been doing. But we also said in the very beginning that its not 200 basis points a year, you are going to see more when the market's up and less when the market's down. And in our view is an expectation that we see the market begin to trend up or certainly in 09 and 2010 likely to be very good year with respect to volume and margins, as we look at it today. So yes, I would reiterate that we continue to have that as a primary focus point for us.
Garik Shmois - Longbow Research: Great, thank you very much and good luck.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Sure.
Operator: Moving on, we'll take the question from John Fox with Fenimore Asset Management.
John Fox - Fenimore Asset Management: Hello everyone. I've a couple of questions. I guess first Steve, do you have break down on shipments by end market, infrastructure, residential et cetera?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: We haven't finalized it, John. We are working through the final stages of that. We will have it shortly. What I can tell you is, as you would expect housing drop sharply and commercial ramped up sharply and a ramp up in the percentage that goes to infrastructure. But we'll give those final numbers very shortly.
John Fox - Fenimore Asset Management: Okay, great. Can you just tell us what you know about the update in Florida, and Lake Belt and what's going on with pricing in aggregates in Florida?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Nothing new on the Lake Belt that you haven't already seen publicly.
John Fox - Fenimore Asset Management: Right.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: So we have no idea what the timing maybe down there or what their decision will be. With respect to pricing, the Miami area producers have been pretty aggressive. But when you take out 25% of the capacity, you are in a position to do that.
John Fox - Fenimore Asset Management: Great.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: They have pushed prices, they had a $5 increase beginning of the fourth quarter and they announced another $5 beginning in the year.
John Fox - Fenimore Asset Management: Right.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: We'll see how that all works out. There has been talk of an additional increase by mid-year.
John Fox - Fenimore Asset Management: Okay. And so I clarify, in the buyback you said, you wanted to continue that and get up in your range which would be 2 to 2.5 times debt to EBITDA, is that correct?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Well, you know us well, we lay out targets and then we really seek to make the targets and that's our target range, it's carefully thought through. Actually, if we had... the only reason we wanted it right there for 2007 is that share buyback at the end of the year, the last three days didn't settled until calendar 08 otherwise we would have been right at 2.0.
John Fox - Fenimore Asset Management: Okay.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: So you should have an expectation that we are going to be on the target range in 2008.
John Fox - Fenimore Asset Management: Okay. And do you see, given all the stress out there in the world today, acquisition opportunities in this environment?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Not many, I mean we continue to look at some small ones. We had indicated, we have an interest in, what Vulcan is going to divest.
John Fox - Fenimore Asset Management: Sure.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: But that's Vulcan's call as to what they do there. We continue to look but we also continue to do what we've been doing and that is to invest organically where we think we just have exceptional opportunities and then we weigh it up between buying Martin and buying some other things, we kind of like ourselves.
Anne H. Lloyd - Chief Financial Officer, Senior Vice President and Treasurer: And John, we've had some good opportunities to acquire additional properties in 2007 and also we expect that in 2008.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Reserve properties.
Anne H. Lloyd - Chief Financial Officer, Senior Vice President and Treasurer: Right, reserve properties.
John Fox - Fenimore Asset Management: Right, you mean land?
Anne H. Lloyd - Chief Financial Officer, Senior Vice President and Treasurer: Yes.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Yes, so we continue to invest for the long-term in the business, I think we have made some key land moves and we have some more in the plan for 2008, we are going stay on that because that is your 50 year cash flow.
John Fox - Fenimore Asset Management: Right, that's in the CapEx number, right?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Yes.
Anne H. Lloyd - Chief Financial Officer, Senior Vice President and Treasurer: Yes.
John Fox - Fenimore Asset Management: Alright, thank you.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Sure.
Operator: From Goldman Sachs, we move on to Ajay Kejriwal.
Ajay Kejriwal - Goldman Sachs: Good afternoon. Wondering if you could maybe clarify a little bit on that pricing guidance 5.5% to 7.5%, sounds like you have the bottom end already implemented and could get to the top end if you get volume. Is that the right way to think about it or there is more that could be implemented later this year?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: I don't think we will see additional price increases this year, certainly not anything significant. Much will rest on where the volume comes from because there is a significant prosperity between pricing, between truck quarries and long-haul distribution yards and there is significant range between areas of the country. So it's going to be transportation mix and geographic mix, I think that will be the determining factors as to where we wind up.
Ajay Kejriwal - Goldman Sachs: Okay. So... and this is more of a hypothetical question. I want to understand the sensitivity around pricing with respect to volume. So if volume were to decline more than your 3%, the bottom end of your range. Would you still get 5.5 pricing or there could be some leakages there?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Unless the world turns upside down totally, which we think we've given you a valid range with any kind of reasonable assumptions about volume; the key consumer in this equation in terms of pushback is the ready mix concrete producer. And if you look at what's happened to them in the last two years, but particularly the last year, they've gone from being very busy with very attractive margins to a point where with a loss of the home building volume, they've seen volumes come down sharply in just that area of the country. So very difficult to pass along much in the way of price increases to ready mix concrete guys at this point, to the extent we get some pick up in the economy should benefit them first and actually make 2009 pricing a little bit more attractive or easier to implement at least.
Ajay Kejriwal - Goldman Sachs: Okay. Moving to the Carolinas, sounds like volume declined 28% in December and part of that was weather-related. Would you get some of that back in the first quarter or that's more a second, third quarter kind of phenomenon?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: I don't think you're going to get back in first quarter and the reason is pretty simple. When contractors have overwhelming backlogs, they work in weather conditions at normally which shut them down. They don't have overwhelming backlogs, that's just a fact of the economy. So I think what you're going to see the contractors do, is they're going to look for more optimal working conditions because when they crank up and go to work, they want to get efficiency out of their workforce, they want to feel comfortable that they are going to get long work days. So I would expect that they are going to push out in the first quarter, they are going to take their time as far as opening up to new projects that they have and in effect, face out the backlog to see if the second half develops in a positive way, just what we talked about earlier.
Ajay Kejriwal - Goldman Sachs: Great, thank you.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Sure.
Operator: Next up, with UBS we have Timna Tanners.
Timna Tanners - UBS: Yes hi. Wanted to ask if you can talk about volume discipline and its been a couple of years now, volumes easing a bit, and wondered if your fellow quarry owners are also contracting volumes consistently as they have in recent years?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Certainly, as far as we know, we have seen a general down drift in aggregate demand and that's a function predominantly of housing. I don't know of any of the significant players that haven't experienced that. You may have a small player somewhere who has a special situation, but certainly the larger, more geographically diverse players have seen it. Q4 '07 was the seventh consecutive down... down quarter volume and we would expect as we go into Q1 of '08 that that's going to be a down volume quarter. We have already said first half down volume, you know Q2 we will talk about it we get here, but certainly nothing roughing going on in the first half that's going to lift volumes up significantly. Everybody's seeing it and the nice thing about the aggregates business unlike let's say, cement or lime where you get 24x7 operations is that you can't shut your plants down. You can reduce the hours, you can adjust your production schedule and to some degree, your cost run rate based on the volume of demand and certainly, that's what we are doing and that's what we are seeing others do.
Timna Tanners - UBS: Okay great. And then also just wanted to ask about the very political, obviously, but can you tell us about what the industry is doing and how preemptive the industry has been regarding the highway trust funds and addressing the imbalance there?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Well, it's interesting to us that the federal government wants to throw somewhere between a $150 billion and $180 billion at the consumer, which I personally view as a stimulus plan for China as opposed to investing in America and maybe that gives us some insight into the short-term versus long-term nature of our politicians. We are sitting here with infrastructure needs are just absolutely overwhelming and the track record on infrastructure investment is that $1 billion of that kind of investment creates 47,000 jobs and if not $6 to $8 an hour jobs, these are jobs that can be $15 to $40 an hour. So certainly, the industry is trying to make its voice heard. There seems to be a fair amount of deafness at the political level, and I am sure that relates to the fact that we've got a November election coming and politicians are what they are, particularly the ones that are running for office right now. So we are going to continue to found a way at it at some point back to grazing cows on the interstates comment I made earlier, they are going to get it and they are going to make the moves. Historically, they have done it. They have typically been late. We've got the safety issue that has been pointedly ramped home with the I-35 bridge collapse in Minneapolis. So I think there is plenty of thought for discussion out there. I think the states are going to continue to lead as opposed to federal Government, and frankly, the states are leading on a lot of things. The Federal government seems to be caught up in itself particularly with the political bickering that goes on between two parties.
Timna Tanners - UBS: Thank you.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Where it all goes, Timna at the end of it, historically, they reauthorize late, but I would expect the democrats are going to sweep at the congressional level certainly based on everything we see today. If that is the case and we were to get a Republican President, the Democrats are generally much more infrastructure friendly and focused and I would expect that they are going to have a veto proof majority.
Timna Tanners - UBS: Okay, very helpful, thank you.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Okay. That bodes well.
Operator: Next, we move on to Clyde Lewis with Citi.
Clyde Lewis - Citigroup: Good afternoon, Steve. Two questions, if I may. First, maybe on the statement, you were talking about some of the polished [ph] way of polished from the chemical grade agro just starting looking pretty positive. Can you just sort of refer, because some movements is going... to bit detail in terms of some of volume, you are talking about there on the spot [ph] pricing versus the more and how attractive [ph] you are selling in but now attractive that is? And the second one I had was, most probably more for Anne, in terms of the sort of other items both for the operating and non-operating level, can you just remind us what was really sort of one-off nature last year that's unlikely to repeat in 2008?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Okay. Why don't we start with financial question, I'll let Anne answer that and I will come back for the market question.
Anne H. Lloyd - Chief Financial Officer, Senior Vice President and Treasurer: Yes Clyde. That's particularly in the other operating kind of expenses that are generally... except in property sales, land sales and also except the equipment or surplus equipment sales. That number ranges in that kind of $10 million to $12 million a year guideline and we just actually had a couple more larger property sales this year than we have last. So it has become sometimes opportunity depending on the buyer.
Clyde Lewis - Citigroup: Okay. And then in the non-operating arm, that was... the kind of one-off disposals [indiscernible].
Anne H. Lloyd - Chief Financial Officer, Senior Vice President and Treasurer: The non-operating margin is primarily revenue generation from our non-consolidated investments, particularly, our investment in a concrete company in North Carolina, they had a very good year and we get our share of their earning. So I don't consider that to be one-off; they had a pretty good track record and have a good vision for 2008 offset.
Clyde Lewis - Citigroup: Okay, great thanks.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Okay, if you look at balance chemical grade and the other components of that other category is agriculture land. You know the chemical grade opportunity for us certainly should be 0.5 million as much as 1 million tons better in '08. than it was in '07. We picked up some contracts in '07, but we didn't get full year benefit. So we are very positive about chemical grade stone going to flue gas desulphurisation. Railroad balance, the pressure on the railroads is eased off a little bit, but the railroads continue to invest at a very significant level. And their track edge and actually they're getting an opportunity to do little bit more if they choose, simply because they get more leeway because of little less traffic and opportunity to do it. So we expect a good year there. The agriculture lime business is interesting because that's mid-western business for the most part, that's where the high demand is. And actually that December weather hurt us pretty badly, with respect to agriculture lime at Iowa in particular. When you get that kind of weather, the farmers can't spread lime and they really can't get into fields to do that until the weather clears. Given the farm incomes, historically, the farmers spend heavily on ag lime when their incomes are up and certainly, they are at record level incomes with price of corn and soybeans. So, we would expect a very good agricultural lime season, your pricing on those products, when you sum them up, they are in the range close to our average selling price for all products. Now there will be regional variances, but they're not going to be much off the mark there.
Clyde Lewis - Citigroup: Okay, thanks a lot. One more, if I may, a quick one, the weather patterns in January '08 were they mostly different to January '07 most of your markets?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: We won't comment on weather until we get to the end of the quarter. We will let you look at the weather maps, you can get that off the National Ocean and Atmospheric Administration's weather map, and they will display that for you month-by-month, sort of a good way to look at it, in terms of temperatures and precipitation.
Clyde Lewis - Citigroup: Okay.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Rather than us comment, I'll send you to the genuine source and then if it's an issue, we will talk about impacts on us at the end of the quarter.
Clyde Lewis - Citigroup: Okay, thanks.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Sure.
Operator: Next up, we have Steve Farley with Farley Capital.
Steve Farley - Farley Capital: Yes. I want to go back to the price increases in Florida, which seem quite significant. If I sort of do my math correctly, if you do 2% of your volume of Florida that's maybe something like 4 million tons and the prices have gone up $10 a ton in Florida that will be an extra $40 million fee, which is almost a $1 a share pre-tax. What are you assuming in the guidance you have given us... what are you assuming with regard to prices in Florida and where in fact are your prices today in Florida?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Well, first of all, when I referenced pricing in Florida, I was specific to talk about the Miami area and we don't produce in the Miami area. So... and we don't market significantly in the Miami area. So, the benefits of that level of price increase goes directly to the producers who are there in that area because of the shut down of capacity. From there, there are shipments will come out of the Miami area, there are also shipments in two other parts of the state. into the central part, even all the way up to Jacksonville and over toward Tampa, and then you begin to have shipments coming in by water and shipments coming in by rail, which is where we participate. And certainly, we are going to see some level of price increase. I referenced the fact that that is one of our better opportunities, but it's nowhere close to what the Miami area producers have an opportunity to get, just simply based on their location. So, don't do a quick math on that one and bring that to the bottom line because that certainly will not be case for us, it'll be good but not that good.
Steve Farley - Farley Capital: So what have you done in your markets in Florida in prices, both October 1 and January 1, if anything?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Well, we've raised prices, but I'm not going to break it out for you specifically on those markets. I'll just... I will say that the rate of increase for us down there is certainly above our average that we've laid out as our target for the year. It's one of the better opportunities.
Steve Farley - Farley Capital: And what's your outlook in terms of volumes in Florida? Might you increase your volumes also?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: We think there's certainly a possibility of that depending upon what ultimately happens with this Lake Belt litigation. So, we're poised to do that, expectation that we will pick up some volume.
Steve Farley - Farley Capital: Thank you.
Operator: Next, we'll take Chris Manuel with KeyBanc Capital Markets.
Christopher D. Manuel - KeyBanc Capital Markets: Good morning or good afternoon, I guess.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Yes, afternoon.
Christopher D. Manuel - KeyBanc Capital Markets: It's been a long day. First question I had for you was kind of follow-on to an earlier question. When we look at the comparisons in the first and second quarter of the year, your first and second quarter, you had volumes that were down closer to 15% I think in the first quarter and a little under 10% in the second. When we kind of compare that to what you are anticipating for full year, should we... before they get pick-ups then later to 07should we anticipate that vis-à-vis down 1 to up 3 range for the full year, that it could be down something closer to the mid single-digits in the first couple of quarters of the year or can you help us a little bit of the timing?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Well, it's possible that we could be down that much, I would not expect that right now, what I hope that we would do better than that.
Christopher D. Manuel - KeyBanc Capital Markets: Okay.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: But that's a possibility. It's just practically quite unpredictable and not as much visibility as we like particularly with when contractors are actually going to go to work on the backlogs that they have. If you go back last year and you look at the volume declines, it was 15% first quarter, 9% second, 4% third and 5%, little better than that, 5.5% in fourth quarter. We had anticipated that fourth quarter was going to be better and that progression of volume decline that it would be less than the decline in Q3 and certainly as we've outlined, it was well on track through October, November, we were plus one. We actually anticipated a down December, would have expected the volume would have been down 3% to 5% for that month and we got the 19% volume decline, which was predominately weather-driven. As we come into Q1 and Q2, I think what you have articulated hopefully is a worse case and that we seek something that is little better than that as a starting point.
Christopher D. Manuel - KeyBanc Capital Markets: That's helpful.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Okay.
Christopher D. Manuel - KeyBanc Capital Markets: And then my second question was have you seen any other push back or deferrals in any of the infrastructure projects in other states than the ones you've mentioned that only can have two ways. First is, you indicated there were some state budget issues, which sounded like some projects may have been pushed back a bit maybe I am reading into that, and the second question with that was have there been any other potential push backs or delays in any of your industrial projects or other commercial projects?
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Now on the infrastructure side, other than what we talked about, nothing that's really of note. On the commercial side, the answer is yes, which is why we made the comment last quarter about seeing some things that were little different. People are cautious right now and developers are measuring very carefully when they get started. Because once they start and break ground, it's difficult for them to pull back. So we will see projects that are scheduled to start at a particular time and you're measuring these things in weeks or maybe even months in terms of when they actually begin or the projects going away, I'm not saying, going away, just a question of deferral and the timing for developers to build what they are building and in some cases they are just not impacted at all because they are so capacity-driven and people that are doing the projects are so long-term that they are just going to move refinery projects, there are lots of activity related to energy.
Christopher D. Manuel - KeyBanc Capital Markets: Okay, that's very helpful. Thank you.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Sure.
Operator: Next, we will take Dan Oppenheim with Banc of America Securities.
Michael Wood - Banc of America Securities: Hi, this is Mike Wood. Can you just tell how close that you are monitoring the pricing strategies of competitors, particularly maybe the private home builders and whether or not are you seeing any changes in the trends how... what kind of price increases they're trying to get compared to yourself and if there is any specific examples in markets would be helpful? Thanks.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Well there's certainly no correlation between the pricing by home builders and pricing in the aggregates business.
Michael Wood - Banc of America Securities: I am sorry, I meant the private aggregate companies.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Okay. The private aggregate companies historically in a downturn tend to be more aggressive. I think that's just the reality for them. Have we seen anything that's unexpected, not really. They do what they normally do, the nice thing that's happened over time is that there has been a lot of consolidation. The public players, I think are much more financially oriented and probably spend a lot of time during their market analysis, probably much better tuned in to what's going on in a market as opposed to just looking at their core shipments by day, and seeing them go down for 5 straight days and beginning to think that perhaps it's something that they are doing or not doing as opposed to the market changing. So it all comes back to analytics at the end of the day. We certainly spend a lot of time trying to assess the demand in our markets, trying to assess where our competitors are and certainly there is a lot of fire fighting going on over volume opportunities. But at the same time, if you run your math, there is always so far out where you can reach because of the transportation advantage, where it makes sense for you on cost basis. So that's one of the beauties of our industry, it is very much transportation sensitive, so if you have location advantage, then you have an opportunity to get the better pricing.
Michael Wood - Banc of America Securities: Thank You.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Sure
Operator: Next question will come from Barry Vogel with Barry Vogel & Associates.
Barry Vogel - Barry Vogel & Associates: Good afternoon ladies and gentlemen. My questions have been answered. Thank you
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Okay Barry.
Operator: There are no more question in the queue. Now I will turn things back over to our speakers for any further or concluding comments they may have.
Stephen P. Zelnak, Jr. - Chairman and Chief Executive Officer: Okay, well again we thank you for joining us today. I will just characterize this interesting times, we are going to stay focused on the cost management, I think it's the time when that demands in order we focus. Certainly we are hopeful that we will see some pick-up in volumes by the second half at the latest, and with that we might now expect turning out another good year and we will talk to you about first quarter results on at the end of April. Thanks for joining us.